Operator: Good morning. My name is Jaimie, and I will be your conference operator today. At this time, I would like to welcome everyone to Teradyne’s Q4 2010 earnings conference call. [Operator Instructions] I would now like to turn the conference call over to the Vice President of Investor Relations, Mr. Andrew Blanchard. Sir, you may begin your conference.
Andrew Blanchard: Thank you, Jaimie. Good morning, everyone, and welcome to our discussion of Teradyne’s most recent financial results. I’m joined this morning by our Chief Executive Officer, Mike Bradley; and our Chief Financial Officer, Greg Beecher. Following our opening remarks, we’ll provide details of our performance for the fourth quarter and full year of 2010, as well as our outlook for the first quarter. First, I’d like to address several administrative issues. The press release containing our most recent financial results was sent out via Business Wire last evening. Copies are available on our website or by calling Teradyne’s Corporate Relations office at 978-370-2221. This call is being simultaneously webcast at teradyne.com. Note that during this call, we’re providing slides on the website that may be helpful to you in following the discussion. To view them, simply access the Investor page of the site and click on Live Webcast icon. In addition, replays of this call will be available via the Investors page of teradyne.com about 24 hours after the call ends. The replays will be available along with slides through February the 13th. The matters that we discuss today will include forward-looking statements that involve risk factors that could cause Teradyne’s results to differ materially from management’s current expectations. We encourage you to review the Safe Harbor statement contained in the earnings release as well as our most recent SEC filings for a complete description. Additionally, those forward-looking statements are made as of today, and we take no obligation to update them as a result of developments occurring after this call. During today’s call, we will make reference to non-GAAP financial measures. We have posted additional information concerning these non-GAAP financial measures, including reconciliation to the most directly comparable GAAP financial measure where available on our website. To view them, go to the Investor page and click on the GAAP to non-GAAP reconciliation link. Also, you may want to note that between now and our next conference call, Teradyne will be participating in the Stifel Nicolaus Technology Conference on February 9 and Goldman Sachs Technology conference on February 15, both in San Francisco, Oppenheimer’s Semiconductor Summit in New York on February 17, and Morgan Stanley’s Technology, Media and Telecom Conference on March 1 in San Francisco. Now, let’s get on with the rest of the agenda. First, our CEO, Mike Bradley, will review the state of the company and the industry in the fourth quarter, and we’ll review our outlook for the first quarter. Then our CFO, Greg Beecher, will provide more details on our quarterly and full year financials along with our guidance for the first quarter. We will then answer your questions. For scheduling purposes, you should note that we intend to end this call after one hour. Mike?
Michael Bradley: Good morning, everyone. Thanks for being with us again today. You can see that we’re guiding revenues up in the first quarter so I want to describe what’s driving that as well as the general tone of business as we enter 2011. But I’d like to spend some time first recapping 2010 as it reflects very solid progress on a long-term strategy. As you know, we closed out the year with annual revenues of $1.6 billion and non-GAAP earnings of $2.20 per share. That was the fourth highest revenue level in our history and the number one year in terms of profit rate and cash generation. Obviously, these results were due in part to a strong recovery in the Semiconductor Test market, particularly in SOC Test. The worldwide SOC Test portion doubled from $1.3 billion in 2009 to $2.6 billion in 2010. And we captured nearly 60% of that growth as our SOC shipments grew from $500 million to just over $1.3 billion. Our customers ordered over 1,700 systems in a year, propelling our SOC market share to about 50%, up from 41% last year. Now, we’ve benefited from some strong segment buying which can ebb and flow each year. So we believe a conservative base line market share would be somewhat lower, but still significantly up from 2009, with half of our share gain coming from new design wins and half from the steady mix shift in the market to mobile, consumer and smart power devices. We’re very pleased that our customers voted so strongly in favor of the FLEX, the 750, Eagle and Nextest SOC products for their new silicon releases and for their aggressive product ramps this past year. Our FLEX and J750 installed base now sits at well over 6,000 systems, and record years for Eagle and Nextest had broadened our total installed base to the point where we’ll cross the 10,000-system mark sometime this year. On the Memory side of things, we had a very good year, with record bookings and revenues for our Memory business unit, both topping $100 million. While the memory test market recovered to a $700 million CapEx level for the year, we grew our shipments every quarter through the year, ending the year at just under our $40 million per quarter run rate. The annual scorecard memory now has us in second place in market share, up from third place last year and fourth place in 2008. But at about a 15% share, we obviously have a long way to go. But the Magnum and UltraFLEX products are well positioned for growth in 2011. In Systems Test, slowdowns in our defense and hard disk drive businesses in the second half left us in the red for the year, but we’ve moved back to profitability in the fourth quarter and expect to continue increasing profits as we grow our shipments in the first quarter. Strategically, we’ve made good progress in expanding our HDD served market, both through its customer expansion as well as broadened test applications, and we expect between $80 million and $120 million in business this year as we’ve said in prior calls. So Greg will go through the company-wide numbers in detail, but I want to reinforce that we’re committed to tight cost discipline going forward. That doesn’t mean that we won’t make strategic investments. It does mean that we’ll keep a grip on any expense creep whether the market is going up or down. Now those of you who followed our industry for a while know that the prior industry-wide pattern has been to give back all the profits of an upturn in the subsequent downturn, then to repeat that pattern over and over again. Our model ensures that that won’t be the case for Teradyne. And I think you can now see how we performed even when there’s a sharp downturn like that from the third to the fourth quarter. The bottom line is fixed-cost disciplined, a strong balance sheet, market share growth in our core markets and expansion into new markets where we have leveraged in technology, distribution and cost. Now, the subject of new market expansion deserves some comment as our cash resources do give us more M&A flexibility going forward. On this subject, I’d like to make a few clarifying points. First, our acquisitions of Eagle Test and Nextest were critical additions to our core market coverage in performance analog and memory test, respectively. We saw these as must-haves with respect to strengthening our SOC presence and expanding into memory. We don’t have any market coverage gaps that warrant M&A moves of that magnitude going forward. Second, expansion in and around the Test Cell would be pursued only when we could get an integration advantage. By that, I mean acquiring and integrating a peripheral product to achieve a performance level that’s impossible to achieve through a modular standalone approach. And third, we would not pursue M&A targets so far off field that they don’t have significant technology or customer leverage. So this multiplier effect of technology and customers is an essential component of anything we consider outside our immediate markets. So these three principles, along with the requirement that any acquisition be healthy and growth-oriented guide all of the work we do in considering non-homegrown initiatives. Now let me turn to our fourth quarter and our trajectory into the first quarter 2011. Our fourth quarter bookings of $355 million were up 1% from Q3, with Semi Test up 10% and our System Test Group down 24%. The System Test drop isn’t surprising as we generally see lumpy buying patterns in the defense and hard disk drive sectors. In this quarter, HDD was down, while defense, commercial board test and automotive diagnostics were all up. In Semi Test, memory was the big story as we had record orders in the quarter. As I mentioned last quarter, we now have installations in Flash, in DRAM prog and in DRAM final test markets. This quarter, we continue to generate business in all three sectors. I will say that the Flash momentum is building, while high-speed memory test remains at a steady but low level. So we’re pleased with the trajectory in Memory, but understand, we have a lot of share growth yet to be realized. In SOC Test, system orders were about flat to Q3, while end-of-year service orders were up. We continue to see the benefit of being well-positioned in the smart power, microcontroller and wireless segments where we captured very high share of end product test seconds. As I mentioned in the prior call, the consumer migration to smartphones and tablets and away from PCs favors our product portfolio. In total, IDM and fabless company direct orders for SOC and memory combined were flat, while OSAT demand increased 58% sequentially to $74 million in the quarter. This is a promising sign as usually subcon demand remains muted for a few quarters in a down cycle. So in the first quarter, we’re moving our revenue plan up over 10% at the midpoint of our guidance as virtually all business units will grow sequentially. In summary, it’s been a rewarding year. We’ve executed some very aggressive production ramps for our customers. We’ve cracked into some important new customers, which give us real upside going forward. We’ve kept a tight hand on the cost structure. And we’ve now tested out our model in both a sharp up and down cycle, assuring us that we can outperform the market and our past history and over-the-cycle results. Now let me turn it over to Greg for the full financial perspective.
Gregory Beecher: Thanks, Mike, and good morning, everyone. I’d like to start by highlighting some of the key 2010 accomplishments before closing the chapter on the year, and then I’ll talk about our cash strategy and wrap up with a recap of fourth quarter results and guidance on our first quarter of 2011. On an annual basis, our sales doubled from last year’s $819 million to $1.6 billion in 2010. Our full year non-GAAP EPS totaled $2.20 versus a loss of $0.27 in 2009. We set new records in units shipped, ramp rate and annual share gain. Certainly, though, two of the headline financial accomplishments; our new annual record for free cash flow of $491 million, about $150 million more than our prior record of $343 million; and our full year non-GAAP operating profit rate of 28%, surpassing our prior record of 23% set in 2000. Perhaps more important than ramping products at record levels or exceeding these two path high watermarks is that we expect to retain these profits with our new model versus giving a large portion of them back in a trough period. As a very quick reference, following our second highest EPS year in 2000, we gave all of those profits back and more in the subsequent downturn. Now, though, despite sales dropping $180 million or 36% from the third quarter, we operated six points above our model, 15% profit rate, in the fourth quarter, and expect even better results in the first quarter of 2011. The model changes from our past peak earnings in 2000 are too many to detail, but I’ll quickly note that our fixed costs are well more than a third lower, with about 2/3 fewer permanent employees. On the employee front, we’re very pleased that our people earned the highest full year profit sharing payouts in our history for 2010, as they executed exceptionally well in meeting the needs of our customers. Across the company, we’ve taken full advantage of low-cost regions and outsourcing. We have fully leveraged technology building blocks and platforms to reduce both cycle time and costs, and we’ve consolidated numerous facilities, functions and activities. But perhaps more than anything else on the model front, we’ve instilled financial discipline and optimized business models throughout the company. Our models are conservative and based upon smaller market sizes than we expect. This is perhaps most evident in SOC Test where we’ve talked about our model being built off a 2 billion SOC Test market despite the 2.5 billion five-year average market size. This obviously provides for far greater full cycle earnings. The model though is just one part of the story. There’s actually a bigger story, which is share growth and expansion into multiple new markets. In 2010, our very strong market share and the higher growth Semi Test segment, such as power management, wireless and microcontroller, shine brightly. The combination of being in faster growing segments and taking share on a socket-by-socket basis enabled us to grow our SOC Test share from about 41% in 2009 to about 50% in 2010. Looking ahead, we also expect to benefit from the multiple technology ways underway in smartphones, mobile computing and Internet connectivity. On the market expansion front, starting with our non-organic moves, we’re very pleased to report that Eagle and Nextest both significantly eclipsed their past sales and earnings records in 2010. A significant portion of our 2010 share gains came from growing Eagle and Nextest’s best-in-class product sales faster than they could do on their own without broader distribution and support. Organically, we’ve also significantly expanded our addressable markets with our entry into hard disk drive and high-speed memory. While neither made the contribution in 2010 that they are capable of, we’re encouraged about their prospects in 2011 and beyond. In summary, our market share, product momentum and operating model position us much better than in any time in our past no matter what the market conditions. Now, moving to the fourth quarter recap. We’ve posted sales of $322 million, with a non-GAAP operating profit rate of 21% and EPS of $0.37. This was our fourth consecutive quarter operating above our model, 15% profit rate, which is another new record. So into last quarter, we’ve shown the combined 2009, 2010 periods and contrasted that to prior two year periods, and you can see that our operating profit rate is about 10 points higher now than in the past. Moving to the demand side. Assuming test bookings increased 10% to 286 million, we’re strengthening in low-speed memory and service bookings. On the other side of bookings ledger, Systems Test Group came in at 69 million, with strong bookings in [inaudible]. Moving to cash. We end the year with 1.55 billion in gross cash and 855 million in net cash after deducting the face amount of the convert and our Japan debt. We recently announced a $200 million buy-back program. The program is intended to offset dilution from employee equity compensation. So far, we have not bought back any stock. Let me explain how we’re thinking about cash. While not cast in stone, we have two basic choices, return capital to shareholders or retain it for M&A. As you know, our track record in M&A with Eagle and Nextest has been very positive. Furthermore, we believe there will be other attractive opportunities where we can grow businesses faster inside Teradyne than on our own as well as benefit from cost synergies. We’ll retain our very strict criteria, including the need to earn at least our cost of capital of 15% and, of course, the business need to be healthy, with a differentiated product and roadmap. That is why we are holding significantly more cash than necessary to operate our existing businesses. We also recognize that the timing of when an acquisition fits our strict criteria and can be brought to closure is very unpredictable. Again, after our stock buyback, we intend to offset the dilution from employee equity transactions, which is about 4 million to 5 million shares a year. We also are planning to be opportunistic in our purchases. To summarize, our intent is not to just accumulate cash. We continuously look at our capital structure. But at this time, we feel there are attractive opportunities to grow both revenue and earnings with prudent use of this cash through M&A. Now to the financial details. The fourth quarter top line of 322 million was down 180 million or 36% from the third quarter. Semi Test was 262 million, down 186 million or 41%, and Systems Test Group was 60 million, up 6 million. Semi Test product shipments decreased 47% from a quarter ago. Within the 322 million, service revenue was 69 million, up 3 million from a quarter ago. Semi Test service revenue was 49 million. Total company product turns business was 30% versus 18% a quarter ago. Semi Test product turns business was 33% versus 18% a quarter ago. Memory revenue was 38 million in the quarter, up from 29 million sequentially. At the end of the fourth quarter, our U.S. board net operating losses totaled about 170 million, and we have federal tax credits of about 50 million. We expect to end Q1 at about the same cash level as we ended the year as we have variable compensation payouts and year-end tax payments in the quarter. Moving down to P&L. Gross margins decreased from 54.9% in the third quarter to 52.5% in the fourth quarter due to volume. We also had favorable mix somewhat tempering the impact of the sharp volume decline. R&D expenses were 47.5 million or 15% of sales compared to 50.1 million or 10% of sales in the third quarter. SG&A expenses were 54.8 million or 17% of sales compared to 61.1 million or 12% of sales in the third quarter. Operating expenses of 102 million were down 9 million from the third quarter due to lower variable compensation. Our net non-GAAP interest and other expense was 2.2 million. Taxes-related benefit of 6.3 million in the quarter as we adjusted the full year rate down to 4%. In the fourth quarter, Semi Test sales were 81% of the total, and the Systems Test Group was 19%. Our book-to-bill ratio for the fourth quarter was 1.1 for the overall company, 1.09 for the Semiconductor Test and 1.16 for the Systems Test Group. At the end of the quarter, our backlogs stood at $514 million, of which 82% is scheduled to ship and be recognized as revenue within the next six months. Cash flow from operations totaled 155 million after capital additions. Depreciation and amortization in the fourth quarter was 32 million, including 7 million of stock-based compensation, 7 million for acquired intangible asset amortization and 2.8 million for amortization of the GAAP imputed debt discount. As noted in the press release, sales for the first quarter of 2011 are expected to be between 350 million and 375 million. And the non-GAAP EPS range is $0.33 to $0.39 on 206 million diluted shares. I should add that the guidance exclude the amortization of acquired intangibles and the noncash imputed interest on the convertible debt. Our GAAP EPS range is $0.26 to $0.31. The operating profit rate at the midpoint of our first quarter guidance is about 22%. Now, moving to the P&L percentages in the first quarter. We expect gross margins to be 51% to 52%. R&D should be 13% to 14%. And SG&A should be 15% to 16%. Non-GAAP net interest expense is expected to be about 2.3 million, and the tax provision should be about 5 million. In summary, we have the best product lineup in the industry, a model that is delivering, and we’re well-positioned to benefit from the technology buying ways underway. Now I’ll turn the call back over to Andy.
Andrew Blanchard: Thanks, Greg. Jaimie, we’d now like to take some questions.
Operator: [Operator Instructions] Your first question is from the line of Krish Sankar with Bank of America.
Krish Sankar – Bank of America Merrill Lynch: Yes. Thanks for taking my question. I had a couple of them. Number one, Greg or Mike, in your guidance, can you split between Semis and the Systems Test? Because I remember last quarter, you said there would be about $30 million of Systems Test business in Q1.
Gregory Beecher: Hi, this is Greg. The Systems Test business will be similar to the fourth quarter, but maybe up about $5 million.
Krish Sankar – Bank of America Merrill Lynch: And the second thing was, what are the split between IDM and OSAT?
Michael Bradley: I’ve got it. The OSAT business was 26% this quarter, and that was up from 18% in the third quarter. That’s where it bottomed.
Krish Sankar – Bank of America Merrill Lynch: Got it. And then in terms of the M&A side, I just want to understand, are your customers pushing you to have a more integrated Test Cell solution or do you think as a test company, you don’t need to really grow up, get more footprint in the Test Cell and look at M&A outside the Test Cell?
Michael Bradley: They are consistently focused, Kris, on best-of-breed. So they wouldn’t take components of the Test Cell that were lower in performance just because they were integrated. So the short answer is they’re not looking for integration for integration’s sake. They’re looking for integration only if it has a functional or economic advantage that can’t be achieved through a modular approach.
Krish Sankar – Bank of America Merrill Lynch: Thank you.
Operator: Your next question comes from the line of Jim Covello with Goldman Sachs.
Jim Covello – Goldman Sachs: Great. Good morning, guys. Thanks so much for taking my question, and congratulations on the terrific results. A couple of questions. I guess, I’d like to follow up on Kris a little bit relative to – your message on M&A is very loud and clear. But would you expect at least some of that M&A activity to come outside of your traditional test space, consistent with other market expansions you’ve done over the last couple of years? That’s the first question. And the second question, is there any color you could offer us relative to what market impact do you think the M&A that’s happening outside of Teradyne in the test space is going to have on the business, really focusing on any kind of incremental opportunities you may be able to take advantage of while there is disruption with competitors? Thank you so much and congratulations again.
Michael Bradley: Jim, with regard to our strategy, the thing we wanted to be clear about is that in one sense, our focus in the past has been very tightly around the core with the additions of Nextest and Eagle. But that doesn’t mean we’re limiting it into the Test Cell as we scan the market. The issue for us is what are the core capabilities of the company and can we find ways to leverage that more inside the core as well as in, what I’d call, close adjacencies. The thing we want to do is avoid looking so far a field that we dilute any of the technology leverage or any of the customer leverage we could get. So that’s the – I don’t want to say it’s exclusively inside the test arena. Having said that, I think we would be unlikely to venture so far away that you would look in and say, "This is a holding company." On the front of what’s happening in the rest of the test space and consolidation. Obviously, the consolidation moves that are underway now will have some effects, short term and long term. But the thing I’d emphasize is that the design in cycles that our customers go through are many months in duration. So there’s really nothing immediate that’s happening. Certainly, customers are asking questions and trying to figure out the implications of that. But the trajectory and the progress we’ve made doesn’t really incorporate anything that could be an outgrowth of that consolidation activity that’s taking place. I think in the future, if product roadmaps change as a result of it, if product are discontinued and so on, I think that will have an impact. But at this point, I wouldn’t put any register of anything into the numbers that we have that’s resulted from that.
Jim Covello – Goldman Sachs: Thank you so much.
Operator: Your next question comes from the line of Atif Malik with Morgan Stanley.
Atif Malik – Morgan Stanley: Hi, thanks for taking my questions and a nice bounce in numbers. I have a question. In your prepared remarks, you said your market share will be down this year, but up from 2009 levels. I’m just guessing, should we take the midpoint of 41% in 2009 and 50% last year as an average market share? And what test bit rate assumption we should use on average for this year? And then I have a follow-up.
Michael Bradley: Atif, because the share shifts come from two places for us. One is from specific device design-ins, and it also comes from the shifting subsegments of the markets, which are gradually moving more and more in favor of the mobile applications and power management and automotive and microcontrollers and so on. It’s a little bit hard to put your finger on how much is permanent and how much is transitional. The way we’ve been doing it, the rule of thumb we’ve been using is that we think there is some of the segment shifting and bumping us in the buying pattern. So we didn’t want to peg our market share at the numerical high 49%, 50% level, which I think it will come out to when all the numbers are in. So the short answer is mid-40s is the way we’re roughly modeling it for this year.
Gregory Beecher: And I think I’ll add to that, Atif, is I think we’ve modeled the company to fit our model profit rate at a 41% market share. So if the market share ends up at somewhere north of 41%, which we believe it will, likely short of 50%. Obviously, that profit rate is above 15% is what we should be delivering.
Michael Bradley: Atif, what was your second question?
Atif Malik – Morgan Stanley: Test bit rate, what is your assumption for test bit rate this year?
Michael Bradley: Let me just do a quick recap. The 2010 bit rates we think will settle in for SOC around 1.4%, and for memory around 1%. Now what we’ve – do some quick math. What we’ve modeled the business at, as you know, in SOC as we build the model around 2 billion. If it comes in at 2 billion, that actually will be a decline in bit rate to about 1.1. So I think at this point in time, we’ve got a range of possibility for market between 2 billion and as much as 2.6, which is what we think it settles in at for 2010. At this point, we’d be betting the over, in other words above 2 billion, in the 2.2 and above range, because of some of the early – the starting quarter here looks pretty good for the industry. So I think you have to deal with it as a range. At 1.1, you get a $2 billion market and then you push away up to 1.4 where you get to that higher end of that range in SOC. Memory was about $700 million market. That’s a 1% bit rate. We think that range is anywhere from 1%, possibly 1.3% for this coming year for memory.
Atif Malik – Morgan Stanley: Okay. And then you didn’t buy any shares last quarter, but the EPS guide for Q1, does it include any share buyback?
Gregory Beecher: The guidance does not include any share buybacks at this point.
Atif Malik – Morgan Stanley: Thanks.
Operator: Your next question comes from the line of Mehdi Hosseini with Susquehanna.
Mehdi Hosseini – Susquehanna Financial Group: Thanks for taking my question. Back to the System segment of your business or your revenue, how should we think about the adjustable market? You have been talking about incremental share gain in that segment, and here we are in 2011, and therefore I was just wondering if you could update us on the overall adjustable market and how you see your penetration? And I have a follow-up.
Michael Bradley: In Systems Test -?
Gregory Beecher: In the hard disk drive?
Mehdi Hosseini – Susquehanna Financial Group: Yes, yes. The Systems Test and specifically hard disk drive.
Michael Bradley: Yes. Mehdi, the update, I guess, comes in a couple of pieces. As you know, we focused on the 2.5-inch drive sector, and over the last couple of years have gotten a footprint in that segment. That’s all upside to us. We’ve done two things to give us the foundation for expanding that share, and that has been to expand the applications from the mobile market to the enterprise market and into functional testing of disk drives. So that broadens our market base in one way, and then we’ve also added a second customer design-in to the equation. So both of those things, we think, give us the ability to grow going forward. Now, I will say that the uncertainties in that market segment have pushed out revenues in 2010. So actually, we were at the low end of our expectations this past year. But we think with the expansion of market and expansion of customers, we’re positioned to do what we’ve described in the past, which is to move this business on a normal year into a range of $80 million to $120 million annually. That’s our aspiration.
Mehdi Hosseini – Susquehanna Financial Group: And then back to Semi services, how should we think or model for the overall trend in 2011? Should we just take the Q4 and normalize it or should we expect it to increase?
Gregory Beecher: Mehdi, this is Greg. I would expect it to increase a little bit each quarter as some of the systems come off the warranty we provide and then they go into a service contract, which turns into revenue. So it will build solid, particularly as you get to the later part of the year, it should increase a little bit more. So you might want to add 1%, 2%.
Mehdi Hosseini – Susquehanna Financial Group: 1% to 2% year-over-year growth?
Gregory Beecher: Yes.
Mehdi Hosseini – Susquehanna Financial Group: And then just one more item, what would you say or characterize as effective tax rate for 2011?
Gregory Beecher: We’re planning on 8% tax rate for 2011.
Mehdi Hosseini – Susquehanna Financial Group: Okay. Thank you.
Gregory Beecher: Thank you.
Operator: Your next question comes from the line of Satya Kumar with Credit Suisse.
Satya Kumar – Credit Suisse: We have no further question. Thank you.
Operator: The next question comes from the line of David Duley with Steelhead.
David Duley Steelhead Securities: Congratulations on a nice quarter. Could you just recap again exactly why you’re guiding your revenue up in the current quarter? And I also noticed that gross margin guidance was down sequentially on a net revenue. Could you talk about that?
Gregory Beecher: Okay, this is Greg. I’ll talk to gross margin. In the fourth quarter, we had very favorable mix of margin within Semiconductor Test and even in the Systems Test group, which is all consistent with, I’ll say, our model in terms of the variation you can get. And if you look at Q1, it’s actually going the other way on us. So if I put the two quarters together, you’d have a more normalized margin. But there is variation simply based upon product mix. In the first quarter, we are shipping a greater amount of – or recognizing revenue, more hard disk drive systems. So it’s simply mix. And why we’re increasing revenue? We’ve had some strength in bookings and the outlook we have looks positive and it’s what we believe customers need.
Michael Bradley: Yes, the short-term indicators, Dave, are picking up. In a short lead time environment, it’s pretty hard to call long term. But the close-in activities picked up a bit. So we’re positioning for that.
David Duley Steelhead Securities: Could you just talk about segments or products or geographic regions that are showing the strength? I guess I was just trying to dig in a little bit more into the upside.
Michael Bradley: Yes. Maybe the best way – I think geographic isn’t as interesting as the segments. I’m going to talk about the SOC part because that’s the interesting part, I think, for you. Let’s see. If I look over the last, let’s say, three or four quarters, the strength that we’ve had continues to be in the microcontroller and logic test segments in the wireless or mobile segment and in power management. Maybe in fourth place, you’d find the automotive applications. So that has consistently been the case even in this last quarter, those are the leaders. Now obviously, they’re down from the peaks in the second – first and second quarter. Those will continue to be in the short term, they look to be the leaders for us. And we’re expecting a little improvement in most of those segments. They kind of change positions first, second, third and fourth, but that’s the cluster of the strongest applications. Now if I put that into a long-term context, that really is what we’ve been anticipating as that those segments over time will capture more of the test market because we think that the growth in the test segments will favor the mobile RF and the microcontroller and automotive spaces at the expense of declining test market size in the microprocessor or chipset spaces. So I think the short-term picture that we’ve got sort of fits into the long-term picture, but those are the three or four segments that have been driving things and continue to drive them through this fourth quarter and we believe into the first.
David Duley Steelhead Securities: Okay, one final thing from me. Did you have any 10% customers during the quarter? And do you think your cash generation in 2011 can match 2010? Thank you, and nice quarter, again.
Gregory Beecher: Okay. Thank you. I’ll answer the last question first. No, I don’t think we can match the performance in 2010. 2010 did have a higher amount of customer advanced payments, so that certainly helped us. And we’re not assuming a market size of 2.6 billion in SOC test. So our plan is to be more conservative, but kind of half of the answer is yes. But I would plan on that, it would be less than that number. That was a very strong number. And again, customer advances helped us a bit there too. So it’s up 10% customer. For the year, we don’t have a 10% customer. For the quarter, I will take a look and get back to you.
David Duley Steelhead Securities: Thank you.
Operator: Your next question comes from the line of Stephen Chin with UBS.
Mahavir Sanghavi – UBS Investment Bank: Yes. Hi, thanks. This is Mahavir Sanghavi for Stephen Chin. Congratulations, Mike and Greg, on executing on your model. I have two questions. My first question is even though DRAM CapEx will be down in 2011, can Teradyne grow DRAM Test Cells in 2011 from new customer wins?
Michael Bradley: Well, we hope so. I think we’ve got a little bit of headwind just as you’ve described, which is things are shifting to the flash side versus the DRAM side. But our design-in position is, at this point, gives us the launching pad to grow if that segment and the CapEx in the segment grows. So I think it’s more tied to the CapEx rate that’s going to move in that space. Now obviously, we’re trying to get additional design-ins, and if we do that, we’ve got a little bit of upside potential in that space. I think for us, this year – actually the trend towards flash is helpful to us, both in a volume and in a share sense since our design-in position with the Magnum product from Nextest is actually – it’s been in that market for some years, and it’s increasing its position in that space. So if the CapEx shift to flash, which we think it will, we think that works in our direction.
Mahavir Sanghavi – UBS Investment Bank: And the second question is, if you’ve got enough a boost from improved outlooks from OSAT, how sustainable are the sales to OSAT? And do you think that they will start to be improving in the first half of ‘11 after sort of bottoming out in 3Q?
Michael Bradley: Well, it’s a rearview mirror here that the OSAT went down substantially, if you remember, in the third quarter. And the favorable news is that they moved up a bit. They’re nowhere close to their peak buying levels, but a move up by the OSAT, we took as a positive signal because they’re really the canary in the mineshaft in terms of where the overall market is moving. So we took that as a favorable move. Again, their trigger is such a short one that they could move up or down. But in terms of the tone of the discussions, we feel like the bottom on the OSAT is behind us. How much it could go up, we’re not sure at this point.
Mahavir Sanghavi – UBS Investment Bank: Thank you, guys. And congratulations once again.
Michael Bradley: Thank you.
Operator: Your next question comes from the line of Timothy Arcuri with Citi.
Timothy Arcuri – Citigroup: Hi guys, several questions. Greg, I’m just trying to clarify something you just said. Did you just say that you’re planning that the SOC test market would be down in 2011? Is that correct?
Gregory Beecher: For our planning purposes, we assume a conservative market that fully structure the company. I think a question was asked to Mike earlier was what do we think the SOC test market size could be. And I think we answered that, that it could be as high as 2.6 or it could be as low as 2.2. It’s somewhere in that range would be our judgment at this point.
Timothy Arcuri – Citigroup: Okay. Just on that, I guess I’m sort of trying to sit, that was what we’ve already heard from the big OSATs. One big OSAT came out, and it was pretty clear that CapEx is going to be up 15%, and cash CapEx should be up at least that much. So talking to the other OSATs, that seems like a pretty consistent theme. So the OSATs seem to be spending definitely up on test. And if you look at your OSAT business, it peaked out at almost triple where it is today on kind of a quarterly run rate. So it would seem like there’s a lot of leap in that business headed into the back half of the year if, in fact, these companies all spent up like they say they’re going to. So I’m wondering why you’re being so conservative when they’re saying that they’re going to spend up.
Michael Bradley: No. Tim, I absolutely take your point. I think sometimes we talk about our planning process so that you understand the disciplined side of our investments, in our expenses side of the equation. But I think the reason we don’t speculate above the top side or the possibility of it being higher is that, frankly, we really can ramp up to whatever level if necessary in that space. So we maybe – as you said, we maybe under-promoting the upside in our discussions, but we only do that because we want to keep the discipline on the cost side. But I would accept the point that if the OSATs recover to the level that they were at 2010, it’s a considerable upside. That was a $400 million to $500 million chunk of business for us. And you’re right, we’re far, far short of that rate at this point.
Timothy Arcuri – Citigroup: Okay, got that. Second question. Just on the – trying to sort of back into what Semi Test orders, sort of a trajectory of that. I know you that you don’t want to talk about bookings, but if I just plug in sort of $75 million in system revenues in Q1, it would sort of suggest that Semi Tests orders are about flattish, maybe they’re up a smidge in Q1. Is that the right way to think about it? And then I had a last follow-up. Thanks.
Michael Bradley: Well, I won’t do all out the limb, but have not forecasted. And I think the thing I wanted to do in my comments and in response to your question here is that I do think that we see a short-term strengthening scenario. Where that ends up, obviously, we’re not sure. We’re still inside – we’re 27 days into the quarter. But I think the short-term indicators are reasonable positive for us, and we signaled the reflection of that in this capacity and slot plan that we have.
Timothy Arcuri – Citigroup: Great. And then just last question. Just on M&A, your last two deals were about $300 million in size. Are you sort of comfortable with that sort of a size? There’s been a lot of questions asked about where you might – what vertical you might buy in. But in terms of size of deal, should we expect a bigger deal than what you’ve done in the past or are you going to try to stick to the same sort of small to medium-sized deals that you’ve done in the past?
Gregory Beecher: Tim, this is Greg. That’s a question to answer directly because a lot of it depends upon what’s the best fit, what would be the most accretive inside Teradyne. But having said that, generally speaking, the larger the deal, the less likely because there’s less likely further help Teradyne can provide a company that’s already grown to a certain level. So I smoothed that out. I think they would tend to be companies a little bit of smaller size where we really could help them in Asia in supply line. Once a company gets to a certain size, they often build some of those capabilities themselves.
Timothy Arcuri – Citigroup: Got it. Thanks a lot.
Operator: Your next question comes from the line of C.J. Muse with Barclays Capital.
C.J. Muse – Barclays Capital: Yes, good morning. Thank you for taking my question. I guess first question on memory. Can you share what your memory orders were in 4Q? What your expectations are for memory revenues in terms of a range for ‘11? And then how do you see the mix between flash and high-speed memory?
Gregory Beecher: Memory bookings in the fourth quarter were 42 million. C.J., size of our business this coming year, we have to put some bands around it. And I think that if the market is the size of this year – this past year, it’s a $700 million market. Our view is this memory market doesn’t go back to the levels that it’s been in the past because of the productivity elements that have been exercised over the past couple of years. So if you put a band of $700 million to $900 million or $1 billion, and we’re sitting at about 15% shares, we exit 2010. Our appetite here is to gradually grow that. We hope that with the shift towards flash this year and with the design-ins we’ve had over the last couple of years, we could move that northward towards 20. So if you put those numbers together, you can get a revenue range in that. Anything inside that sizing, we’re fully capable of shipping.
C.J. Muse – Barclays Capital: And then on the HDD side, it looks like you had some of that business pushed from Q4 and I’m assuming into ‘11, so, I guess, can you provide some color there? And then in terms of the revenue guide or the range you provided for ‘11, can you tell us what the expected linearity is?
Gregory Beecher: You’re right, C.J., some of the hard disk drive while it shipped in the fourth quarter, it will be recognized in revenue in the first quarter. And hard disk drive, it there is a buying pattern, they tend to put orders in the second quarter, third quarter. But it’s very hard to forecast that.
Michael Bradley: It’s the least linear of our businesses, and it’s the shortest history of any product that we’ve got. But our expectation is it’s going to be very lumpy.
C.J. Muse – Barclays Capital: And I guess on the SOC side, you talked about, I guess, some uncertainty in terms on which end markets are necessarily going to grow and what would the share will be. But I guess, curious on what you see in terms of product mix and what the implications are for your margins on the SOC test side excluding memory. Any help there?
Gregory Beecher: I think the mix will be somewhat similar to some prior quarters. And we’ve set our guidance – we tend to try to be a little conservative on the mix. There’s nothing happening in the pricing environment that should change our model at least in the short term, that’s for sure. And we had very good mix in the fourth quarter, very good, so first quarter, we’re assuming it’s not as strong, and we also had greater hard disk drive business. So I don’t think there’s anything unusual about the Q4 to Q1 mix. If you could see the products underneath it, they’re delivering at their normal standard margins. It’s just the mix that’s in the quarter.
C.J. Muse – Barclays Capital: So I was actually thinking beyond Q1 for all ‘11. I know that’s out a bit further, but I was wondering if you have any thoughts there.
Gregory Beecher: I think the only thing significantly different – the things that could be different would be more hard disk drive business, so that’s going to give us more dollar from the bottom line but lower the gross margin percent and lower our R&D and SG&A percent. But more dollars in the bottom line.
Michael Bradley: The other thing inside SOC, there’s really not a – we don’t project much of a difference in mix. I guess the only thing in the short term that has move of interest is in that the image sensor market, which has been quite subdued, actually had a decent uptick here in the fourth quarter. But any of these moves mix actually don’t have much impact to us in terms of either production capability. And as Greg has talked about the margin mix, it moves gradually, but the margins are fairly consistent.
C.J. Muse – Barclays Capital: Last question for me. On the M&A side, you talked about acquisitions. I’m curious whether you would consider JV partnerships as well?
Gregory Beecher: It’s hard to say never, but it’s hard for me to conceptualize how that might serve our interest. So it would have to be some unique set of circumstances that that might make sense. Over the years, we have not seen one that made sense for Teradyne. So we consider everything, but many things get thrown off the table pretty quickly.
C.J. Muse – Barclays Capital: Perfect. Thank you.
Operator: Your next question comes from the line of Patrick Ho with Stifel Nicolaus.
Patrick Ho – Stifel Nicolaus: Two questions. One, Mike, you mentioned some of the design wins that you guys have generated. Are those new design wins coming in from the same areas that are strong right now, like power management, wireless and microcontrollers? Are they in other market segments?
Michael Bradley: No, they cover the waterfront, Patrick. Maybe one way to think about it is from a product standpoint, if you accumulate all of the design wins that we’ve had this year, that would total between $40 million and $50 million of identifiable sockets. About half of those design wins come from the FLEX family. About, I think, a little bit under 40% of those come from the Eagle family, and a bit more than 10% have come from the 750. That can change a little bit, but that gives you some flavor from a product standpoint how things have moved. I think the thing that’s interesting in that profile is that over the two years here that we’ve had Eagle Test in the portfolio, I’m putting – I’m doing – this is all SOC by the way. While we’ve had Eagle Test in the portfolio, we’ve really been gaining some steam as we’ve combined our sales and applications teams, especially in Asia, to go after a series of accounts that Eagle didn’t have the reach into with their distribution organization. So that’s really starting to kick in, and that’s why the Eagle piece is as high as 35% to 40%.
Patrick Ho – Stifel Nicolaus: Great. That’s really helpful. And one clarification on the HDD Test business, I think, Greg, you just said that you’d shipped but you’re expecting to recognize revenues in Q1. Is there a different, I guess, recognition revenue policy with HDD Test from your normal Semiconductor Test business? Or are these kind of the eval units that have a little bit of a longer period before revenue recognition? Can you just give a little color on that?
Gregory Beecher: It’s the latter. There is no difference, but because it’s a new product, a new version of the product, we wait for acceptance. No different in what we do with a Semi Test product.
Patrick Ho – Stifel Nicolaus: Great. Thanks a lot guys.
Andrew Blanchard: Operator, we have time for just one more question, please.
Operator: You have a question from the line of Tom Diffely with D. A. Davidson.
Tom Diffely – D.A. Davidson: Yes. Good morning. Just quickly, I was hoping you can give us a feel for what the utilization rates are of your tools in the field and how it’s trended over the last couple of months?
Michael Bradley: Tom, it’s Mike. Things have moved down a little through the third and fourth quarter. And by a little, I mean into the 80s, 80% levels, 80% to 90%. If you look at it in industry-wide, and I think with the share we have, we’re a fair indicator of the industry. The bottoms of the last few cycles have been low 80s. This is a little bit higher than that. I put it at around the mid-80s at this point. So the buying has stabilized here and the utilization has stabilized at a slightly higher level. Now, all these comments don’t embrace the 2009 downturn so I always talk about that separately. That was in the 50s, obviously.
Tom Diffely – D.A. Davidson: And then you’ve talked about how you’ve had a nice little jump here in some OSAT business. What about the IDMs, are they starting to ramp up as well, just on a lower level?
Michael Bradley: The IDM buying rate has – everything came down in the third quarter, but that has stabilized.
Tom Diffely – D.A. Davidson: Okay. Would you expect that to improve in the first quarter, I mean the OSAT-driven upturn in the near term?
Michael Bradley: I think it’s not distinguished OSAT to IDMs. I think the general sense that we have is that the customer base is mobilizing here to move a little bit into a more strong position so I wouldn’t say it’s one place or the other.
Tom Diffely – D.A. Davidson: Okay. And then finally, in the test, you’ve talked about how the hard disk drive business had lower margins. I was just kind of curious, is that a volume-driven issue? Is it more of a structural issue?
Gregory Beecher: It’s a structural issue. It’s more based upon the level of differentiation the product has while its significant. We’re not able to get the same margins as we are in Semiconductor Test. And it’s the model of the business and as far as lower engineering and selling costs. So it can have the same operating profit line, but it has less engineering. With less engineering, they generally get less of a gross margin.
Tom Diffely – D.A. Davidson: Okay. That makes sense. All right. Thank you.
Gregory Beecher: Thank you.
Andrew Blanchard: Great. Thank you, everyone, for joining us. We look forward to talking to you in the coming weeks. Take care.
Michael Bradley: Thank you.
Operator: Ladies and gentlemen, this concludes today’s Teradyne Q4, 2010 earnings conference call. And you may now disconnect.